Operator: Ladies and gentlemen, thank you for standing by. I’m Konstantinos, your Chorus Call operator. Welcome, and thank you for joining the Aegean Airlines conference call to present and discuss the full year 2024 financial results. [Operator Instructions] The conference is being recorded. [Operator Instructions] At this time, I would like to turn the conference over to Mr. Eftichios Vassilakis, Chairman of the Board of Directors. Mr. Vassilakis, you may now proceed.
Eftichios Vassilakis: Yes. Thank you very much. Welcome, everybody, to the presentation of the results for 2024. Let me first say that I have Mr. Kouveliotis, our CFO and Deputy CEO, with us; also Stella Dimaraki, our Deputy CFO; and Anthi Katelani, our Investor Relations Director, with us. So we’re all here for your questions. Let me start by saying that ‘24 has been another strong and successful year for Aegean, actually concluded by probably our most successful fourth quarter. As you know, fourth quarter is typically a weak one for anybody involved in the airline business, but particularly for Greek airlines since most of our demand – strong demand is in the summer. Nevertheless, this quarter, the last quarter of ‘24 was definitely the strongest quarter of the year by relation to the previous year and the quarters before that. We had a 10% increase of revenue with only a 4% increase of activity in terms of ASK. And this has brought up our operating profitability by circa €30 million higher than the year before some negative €6 million of EBIT to positive €27 million for the quarter. So both in terms of operating profitability and in terms of EBITDA, which actually doubled from €35 million to €75 million for the quarter, a very strong quarter, which basically seems to indicate that the demand for travel coming from either Greeks that are able through the gradual improvement of the economy, but also foreigners who are extending the duration of their visitation to Greece to winter months is giving us some more comfort during the typically weak parts of the year. So that is a very positive, let’s say, development for us, which comes to mitigate some of the weakness or the relative weakness we had in Q3 relative to the year before, whether it was because of our inability to fly as much as we could in the peak of the summer due to the groundings we had from the GTF issue on the engines or the lack of ability to cover the Middle East in as – an effective way, particularly Israel, Beirut and Oman as in the past due to the geopolitical crisis that was – did not allow us to fly there in the summer, which reduced our operations again. And also because July across Europe seemed to be less strong than it typically is. So after, let’s say, a Q3 that was strong, but not at the level of the year before due to these three factors, a very strong last quarter comes to conclude into a year. That has brought us again a total revenue of €1.78 billion, 5% higher than the year before, 6% higher passengers with a 16.3 million figure of passengers reached and the total increase of ASK of 5% relative to the year before. And remarkably, looking at the market, also a small but noticeable increase on our revenue per ASK by circa 1.5% for the whole year. So the strength of the last quarter comes and concludes a year for us that had challenges due to the Middle East issues, due to the GTF issues, which was the first full year where we had to face these groundings and still arrives Aegean at a result where our EBITDA actually reaches again in excess of €400 million, so €405 million there. Operating profitability of €227 million, 8% reduced from the year before and a total net income of €130 million, bringing us to our second best result in terms of final bottom line, driven also by some movements in the currency in the last 4 months of the year, which we’re happy to discuss and analyze for you later. The important thing for us is that, again, what I said earlier on, the strength of the demand that we are looking at, which is good enough to overcome the various unit cost pressures, whether they are from the GTF-related issues or whether from the inflationary pressures that we see in services, in labor and also in, of course, the CO2-related costs that we have to incur as part of the gradual removal of the free allowances and the increases of the unit cost of CO2 and that basically the demand remains strong and that this demand actually is now, I would say, balanced in terms of relative strength to the year before by the growth of travel of Greeks and foreigners coming to Greece as well. And it’s important for Aegean to achieve a result like this within a market that is continuously, let’s say, visited increasingly by other airlines as well, which have dedicated a significantly higher capacity to our country also for 2024, just like in the years before us. And that’s – before that and which is why the capacity to Greece from Europe is up basically around 25% or 26% relative to pre-COVID years when, in fact, the overall European capacity is around about 2% or 3% only higher for intra-European flying than it was before COVID. So a good performance within a market that shows domestic and international resilience and growth and where other carriers are also concentrating significant amounts of their capacity because of the attractiveness of the environment. Our cash flows also have remained very strong. This is demonstrated by the fact that despite the purchase of the warrants early of the year, our investment in Volotea, which took about €30 million, €31 million to be precise by the end of the year, our investment in some other non-operating items such as shares of the Athens International Airport, which took about another €25 million. So between the warrants and the investment in Volotea and the Athens listing – the Athens Airport listing, these together are basically €130 million, €125 million, €107 million. And despite these non-operating investments, we still ended up the year with higher cash available by circa €60 million, €65 million from the beginning of the year, having, of course, paid for the first time after 4 years, a significant dividend and having also for the first time after 4 years, paid significant income taxes since the offset of the COVID losses is now complete. So cash flow is also strong. We continued to accept new aircraft throughout the year, a total of 7 aircraft, new aircraft actually joined our fleet, 5 Airbus 320 321neos and 2 ATR 72-600s also new joined our fleet. So the fleet program continues to evolve. You have also seen recently our complementary or supplementary addition to the outstanding fleet program, but we can discuss that later in Q&A. And of course, this year was also significant for another reason. It was the first year of operation of our third-party training and maintenance center. Of course, we’re very much in our early stages of the development of our capabilities there in terms of people and in terms of client base. But it’s very important to note that even in this first year, we have achieved to have some of the larger groups of – airline groups in Europe to send us – could be for trial, but they sent us some aircraft for maintenance. And I think we did quite well in the serving of those first major customers, and we hope that our performance will cause them to bring us more long-term repetitive business that will validate our investment in this area as well. So all in all, I think a successful year. We go into this current year with a somewhat more significant investment in capacity. We hope to operate this year between 8% and 9% additional ASK. Effectively, it is not dissimilar to the intention we had last year, except that the inability to fly to the Middle East in the summer took away 2%, 3% of our overall ASK growth and landed us at 5%. So it’s more or less the same plan as we had the year before. It’s gradual. It adds 2 to 3 aircraft to our operating capacity. It still continues to emphasize flying a little bit more relative to the year before in the edges of the season, before and after the peak of the summer to address both our own limitations, but also the overall system limitations in terms of peak operations, airports, congestion, ATC. So we definitely want to do whatever we can do outside the peak. But also, it follows the result of the last quarter and the indications that we have that demand for winter months, is improving. It’s never going to be the same as the summer. The prices are never going to be the same as the summer and the contribution to the year is not going to be the same as in the beginning of the – the peak of the summer. But it’s very comforting to see that things are beginning to become less uneven or less weak, at least during the last part of the year. So I will actually stop here and take your questions, and we’ll have the chance to add different elements either to the discussion of the ‘24 or the coming year during the Q&A. Thank you.
Operator: [Operator Instructions] The first question comes from the line of Svyriadi, Natalia with Eurobank Equities. Please go ahead.
Natalia Svyriadi: Yes, good afternoon. I hope you can hear me. Thank you for taking my questions. I would like to start from the – maybe giving us an update on the investments. You said at the end that you have started with your MRO center and there have been some planes coming there. How does this – what is an update there regarding this investment? And maybe the investment also in Volotea, how has this been evolving? This is one question.
Eftichios Vassilakis: Okay. Thank you. Let me start from the MRO to say that we have said since the beginning that the first 2, 3 years of our operation there are not going to bring additional profit. Actually, they’re going to take – they are going to add to our cost to some degree because effectively, we’re always building ahead our capacity in terms of people in order to train them and set up the whole structure in a way to accommodate potential demand and also to take use of this substantial facility. So what we can tell you is that the material part of the investment in CapEx is now behind us. What is in front of us in terms of works and equipment in the building is minor, up to the tune of, let’s say, something like €5 million a year. So the only remaining CapEx is the remaining payment to the the concession – for the concession to the Athens International Airport, which will occur between now and 2030, correct, which – 2032. So that’s the remaining – what in terms of CapEx guys, €40 million or €50 million?
Stella Dimaraki: It’s €46 million.
Eftichios Vassilakis: Okay. So it’s another €46 million to pay for the concession to the airport over the next 6 years, basically. Now the – in terms of the investment in Volotea, actually, when we first made the announcement in the summer, we had invested €25 million in a convertible bond. That remains. Subsequently, about a month later, we made a smaller investment of about €5 million in common shares in the company. So what has changed in terms of how much is invested is about €5 million. So it’s now up to €31 million altogether. And the difference is now that between the common shares that we bought, which is something like 4.9% and assuming a fully diluted basis on the convertible debt, that would take us up to 17% instead of 13% of what we had initially done and communicated. Now more importantly, what is the case about Volotea is that they announced their own results. They’re not listed, but they did communicate certain data to the market, which we are happy to repeat. Volotea had significant revenue growth during last year and passenger growth as well. But – and they stand now at more or less, more than 50% higher activity relative to 2019. But what’s most important is that they did improve their EBITDA significantly from around about €95 million in 2023 to circa €148 million, €150 million in 2024, which represents a 50% improvement. That means that the company – we joined the company at a time that it has found a way to improve its profitability and has found a way to be much, much more accurate in its predictions for revenue because this is the prediction for revenue and cost they had given to us early on in 2024 when our discussions were initiated and also in the summer by the time that the discussions were concluded and we made the investment. Therefore, we are happy to report that this investment – or actually, it’s not the investment, but the company in which we have invested has performed very well. So they performed at the level of our expectations and the level of their commitment to us. And therefore, we’re also in a discussion with them and the rest of the shareholders in the company about the second part of the anticipated investment. And these discussions are going to take the next 3, 4 months. So we expect by June or July to know the degree of our additional investment of the company – to the company in the same way more or less as we have communicated from the start. But this is not an obligation for us. This is a discussion to have with the other shareholders, which we hope we will have in a very positive light due to the satisfactory performance of the company during the first year of our investment there. So that’s what I can tell you about Volotea. Step 1 is good. Step 2, we’ll see.
Natalia Svyriadi: Okay, great. And also, if you have any indications that you could share about the peer’s capacity addition, you said you are adding like 8% to 9%, but how is it the overall coming into Greece?
Eftichios Vassilakis: Yes. The overall coming into Greece, it seems to be a little bit less this year in terms of rate of increase than last year. I think the published capacity to the country is between 6% and 7% up overall. So what we are doing seems to be marginally higher than the average. There continues to be an increased amount of – the Athens numbers are always a little bit higher than that, but I’m sure the Athens Airport, which is also listed, will report those with more accuracy than us. What’s also the case is that this year, there seems to be a higher investment from the market to the north, to Thessaloniki and a somewhat slower investment by the market to the south. So an average of 6% to 7% overall for the country, still higher numbers for Athens and Thessaloniki relative to the average and somewhat lower numbers to the islands. By lower, I mean lower rate of increase, right, not to be confused by – yes, okay.
Natalia Svyriadi: Yes, yes, of course. Okay, thank you very much for that.
Operator: The next question comes from the line of Lobbenberg, Andrew with Barclays. Please go ahead.
Andrew Lobbenberg: Hi, there. Can I please ask about the impact of GTF groundings through 2024? How many aircraft were on the ground at what time? And what do you expect to be the case in ‘25? I know you’re going to be limited on what you can say in terms of the compensation structure. But yes, what can you tell us in terms of the compensation structure? What was received in ‘24? What line items is it in the P&L? And what is it sensible to expect in ‘25 and potentially even ‘26? Away from the GTFs, can you please remind me, sorry, I should know. What’s your thinking about fleet financing, how much do you think you put on balance sheet or does everything stay sale and leaseback? And can I ask about those new orders that came out on Friday. Are you committed to the Pratt & Whitney for those new orders or not and when do you hope to get those new planes? Thanks so much.
Eftichios Vassilakis: Right. I will be as political as I can in my response and at the same time, try to be useful to you, which is not going to be easy based on what you asked. Okay. So first of all, the GTF issue is going to be with us for another 2 years. ‘24 was the first year where it had a material impact. It will clearly have an impact in ‘25, ‘26 and also ‘27. We expect the peak of the issue in terms of number of grounded aircraft to be reached somewhere between end ‘25 and end ‘26. So ‘26 is going to be the year most highly impacted in terms of numbers of grounded aircraft and ‘27 is going to see by the end of it, hopefully, the end of this whole cycle. Where we were in 2024 is partially indicated in previous announcement, but also in what we released the other day. We had about 8 aircraft in the peak of the year, and we’re looking at 9 or 10 aircraft as we speak. This number will probably increase by 2 to 3 aircraft by the end of – by Q4 of ‘26 – ‘25, I’m sorry. And will peak at around 13 or 14 aircraft somewhere in ‘26. Now having said that you need to keep in mind that every year, we do accept 5 – on average 5 new 320 321s. So, we will definitely have a higher number of 320 321s flying than we did in ‘24 for every year going forward. And more particularly and more importantly for us, we will have a higher number of 321neos flying in the years going forward because this is the most important aircraft due to the differential of seat capacity of the 220 seats, both with the 180 of the 320neo and with the 174 of the 320 of the previous generation. Now in terms of the compensation and its effect with the compensation we received from Pratt & Whitney and its effects and its, let’s say, and the residual effects to the company, I think we have never disclosed the exact amount per aircraft, but the structure of the compensation is – comes effectively in 2 ways. One is in relief for every grounded day that an aircraft spends due to lack of spare engines. And it also comes in – with the provision of engines we can source from Pratt & Whitney at discounted fares – discounted rates, I’m sorry. These two, however, do not – are not sufficient to cover our overall costs. I think what we have indicated also in previous discussions is that 2024 net-net was affected by over €20 million of residual real cost effect that is mostly visible in the lines of maintenance and the operating leases, which stands for wet leases that we had to occur in 2024. We will not be repeating this. The ‘24 wet leases, ACMIs were very expensive. And actually, we were not even able to plan them at the right time to offset the problem because the predictability of when we will have the ability to go into the shops for the engines is not as precise as we would like them to be. So I would expect the next years to be also burdened by this number more or less. We are continuously having discussions with Pratt & Whitney about the revision of the elements of the agreement that we have with them for compensation. Nobody discloses elements of that, but they’re still ongoing. And for the moment, yes, we have not had discussions with another manufacturer of engines, partially because as of 2024, the aircraft that we receive do – no longer have the same problem as the previous one. The engines are now equipped with the appropriate non-contaminated parts. So we don’t expect the engines that we’ve been receiving over the last year or more to be having the same problem in the future. We chose the Pratt & Whitney engine because it has more potential of development in terms of fuel savings. Pratt & Whitney is developing – is launching its Advantage, the second version of the GTF engine, which promises some additional fuel savings. So our hope is that either through agreement with the company or through the improvements that they make, this choice will be validated in the future. Now going into the order of the additional aircraft, our order up until the additional element stood at a total of 50 aircraft, where we had received 34 and where an additional 17 were outstanding – 16, I’m sorry, were outstanding. With the addition of the additional 8 321neos, now we have 24 aircraft that are outstanding. The aircraft that we were expecting would come until 2028, from now until 2028, the addition of the 8 aircraft takes us out to 2032. And so this is the overall situation in terms of what is outstanding. It’s the same types as before, more or less the same values escalated forward, of course, with the classic inflation-related and industrial cost-related indexes that Airbus and the other manufacturers provide, but the same type of aircraft with more or less the similar conditions as the previous ones. Now in terms of what we are doing about financing aircraft, we have indicated in previous calls that we are – have already moved away from only looking at sale leasebacks. We did 3 JOLCOs during 2024. JOLCOs are effectively 100% financing structures with an element that is equity provided, fixed cost equity provided by Japanese investors denominated in dollars. And the rest of it, at least as we took it, 70% or 75% denominated in euro and provided by European banks, which is important for us because this provides some mitigation of the volatility that we see in currency and in valuations to our balance sheet. We intend to continue to look at structures like that. We have ongoing discussions for additional JOLCOs this year, and we expect to have about 2 aircraft with leases and the rest with finance structures for the aircraft that we are planning for this year to come. So we will continue building by 2 to 3 aircraft a year, our non-pure lease aircraft base. We need to enjoy the benefit of owning aircraft to some degree and having some protection from inflationary practices going forward and successfully build more of an asset base for the company as I think the stronger airlines of the world do. We will still maintain the majority of our aircraft with leases, but the ownership base with different structures, JOLCO or other structures, finance leases will also continue. And we expect the next 2 years to be more in the financing side and less on the leasing side. But in all years, you will see both.
Andrew Lobbenberg: Nice. Thank you. And can I just double check, the extra aircraft you have ordered, they are just regular ones, they are not the LRs. Do you have the flexibility to switch them later on if you want?
Eftichios Vassilakis: I mean judging from the fact that they are beyond ‘28, you can understand we have the flexibility to switch them to anything that is in the Airbus family in terms of specs. But for now, it’s just a regular version of the aircraft as we have today.
Andrew Lobbenberg: Great. Thank you so much.
Eftichios Vassilakis: Thanks.
Operator: The next question comes from the line of Caithaml, Jakub with Wood & Co. Please go ahead.
Jakub Caithaml: Hi. Good afternoon. This is Jakub from Wood. Thanks for the presentation. Also three from my side, please. You touched on it already, but could you still provide some more comments about the RASK in the fourth quarter, where we have seen quite a tangible improvement. And would it be fair to expect this positive dynamic to continue also in the first months of ‘25? Then also, I wanted to ask about employee costs towards the end of the year, which have been quite favorable. Again, could you talk about the drivers? And is this sustainable, or have there been any one-off effects there? And lastly, if we exclude the investments into Volotea and into the Athens International Airport, CapEx this year has been quite a bit lower than in the past 2 years. Could you remind us what were the key items driving the CapEx this year versus the year or 2 years before and what is in store for ‘25 and ‘26? Thank you.
Eftichios Vassilakis: I am not trying to avoid questions, but I think for details around CapEx and comparing across different years, it’s better to reach out directly to our people offline and be able to get the numbers that we release more accurately because I am not the resident expert for what exactly we have done in the past or in the future. I can give you the broad directions, but it’s better to actually talk to Anthi or Stella offline and make sure that you have your numbers correctly. Now, let me first start from what you asked about the employees in the last quarter. There – what you should look at is the comparison year-to-year. So, year-to-year, I believe our employee benefit went up by 6%, and that is an accurate number. The comparison of the last quarter, quarter-to-quarter is not accurate because we took a large provision during Q4 of 2023 vis-à-vis our long-term incentive which matured at the end of ‘24. And what happened was basically that in the quarter of ‘23, the last quarter of ‘23, we realized that the 3-year incentive would mature at a higher level, at a higher cost for the company than we had anticipated because simply we were performing better, and it was related to percent profitability on revenue. Therefore, we took an additional provision there that covered for ‘22 and ‘23 and inflated the cost of the employee compensation number for Q3 2023. So, that comparison is not entirely fair. So, if we took that element out, then for the whole year, the comparison would be around about 8% to the year before. And that would be a more fair approximation of the trend, 8%, 9% going forward rather than what you saw for the last quarter of the year. What is happening there is quite simple. We are, of course, providing increased salaries to our people year-on-year. We are also being joined by new staff. The new staff, of course, has due to more – less seniority, lower salaries than the average employee. And as we grow, this – retains the number, the growth of the cost of this number to more reasonable levels. So – certainly, do not take the indication of the comparison for the last quarter as anything other than the effect of what I just gave you. And again, if you need more color, you can get it more directly from Stella or Anthi offline. What was the other question, I am sorry, I lost myself on the labor?
Jakub Caithaml: It was on the CapEx and how is the outlook for ‘25, ‘26 relative to ‘24? And maybe if I can also follow in the CapEx bucket on Volotea that you talked about earlier, I mean with this EBITDA level, is the company breaking even in cash flow terms? Does it cover the leasing costs and the interest on the leases?
Eftichios Vassilakis: Well, let me just say that since Volotea is not listed, I cannot release more information than they actually released in their own presentation to analysts, which was, I believe three months or four months – three weeks or four weeks, sorry, weeks ago. But I think yes, it’s clear that the EBITDA level that we are discussing is well above the requirement they need to pay for their leases. The challenge for Volotea is to find the cash flow to address the assistance it received from the loans it got in Spain through the – supported by the state programs during COVID. But certainly, what they are already producing is significantly over the need to repay the leases, which are for mid-life aircraft and therefore, significantly lower than the EBITDA level that I just described to you. Now, going back to our own CapEx, I think first thing I have to say is that the CapEx this year will be increased by circa $50 million, which is the PDP requirement, predelivery payment requirement for the eight additional aircraft. I believe the total of PDP payments this year, including this $50 million we will receive, will reach around $130 million, which is higher relative to last year, which was about $55 million. So, there is a significant increase of CapEx there. But of course, given we don’t have to pay another €85 million for warrants, that more or less cancels each other out. And if you add warrants and fleet, it comes to about the same number as last year, although that is not a related number, obviously. Now, we have said already that the MRO investment is more or less behind us. And yes, there might be an additional investment in Volotea, as I indicated in my opening statement. The exact level of that has not yet been determined.
Jakub Caithaml: Thanks very much.
Operator: The next question comes from the line of Kumar, Achal with HSBC. Please go ahead.
Achal Kumar: Yes. Hi. Thank you so much for taking my question. First of all, I just wanted to understand around the capacity, a bit math on the capacity. So, in your statement, you mentioned that you are going to increase your number of seats by 8.5%, while international capacity will grow much faster at 12%. That means your ASKs should grow much faster. And you mentioned the ASK is going to grow 8.5%. So, I am just trying to do the math behind it. So, could you please guide? But secondly, I think the most important part of it, I just want to understand because I think majority of your source market is Germany and UK and both these markets are facing some bit of challenges. So, how do you see demand? I mean do you see the demand could grow faster than 12%, which you are planning to grow in the international markets? That is going to be my first question. My second part – second question is around the – some guidance about the summer trading. So, we are already in March. So, how do you see the passenger yields going into summer 2025 versus last year? So, if you could give a bit of a color on that. And the third and final question is about the unit cost. So, your ex-fuel CASK was up 15% in Q4 and 8% in the full year. So, I just want to understand how much of that was due to ForEx and how much was ex ForEx? And where do you see the biggest cost pressure and what kind of focus you have going into next year? Thank you so much.
Eftichios Vassilakis: Okay. Just to be – there is 2 levels of ForEx effect on cost, right. One is on valuation and the other one is on operating costs. So, if we take out the valuation effect, the number on the year for 2024 goes down from 8% to around 6% and – on the ex-fuel basis. And on the before fuel basis, then it goes from 5% to 3.5% more or less. So, that gives you a very important adjustment in the level of cost increases that we face. Having said that, that does not mean that we do not see pressures coming from navigation costs, coming from the handling services across Europe, coming from, of course, CO2 and the effect of the SAF in the introduction that we – that is being used from the mandatory by 2% from the beginning of this year. So, we certainly do expect to have unit cost increases again coming this year. We look at those to be around 5% relative to the year before. And what I mentioned already are the primary sources, navigation, handling services, and CO2 and SAF and of course, labor implied in all services across Europe and in our own company. So, yes, that does imply that we need either increases in KPIs that relate to efficiency or we need RASK level improvements in order to get to an improved result relative to last year, and that’s what we are working to achieve. I think a lot of the effort has to do with ensuring that the larger aircraft of our fleet, the 321neos are a bigger part of our activity. Second part has to do with the continuous redesign of the network, adjusting for routes that are in markets that are more promising relative to ones that are less promising. However, I do need to caution you that I did not give the numbers that you related earlier on. I did not say, we will have 12% increase in international, I have said we will have something between 8% and 9% increase of ASK throughout the year, which is a significantly lower number than what you mentioned. I also mentioned that as before, we will try harder to utilize our aircraft more in the beginning and the end of the season rather than the peak, even though actually the peak this year should be supported relative to last year by the fact that hopefully, we will be able to fly to Israel, Beirut and Oman, which we didn’t have, particularly Israel, which is significant, in the peak of last year. So, we are only hoping to be about 2% higher than the overall growth of the market here, just like we were only 2% lower than the overall growth of the market here in 2024, why, because we were the carrier primarily affected by not flying in the Middle East since our hub is Athens, relative to the rest of the carriers coming from Western Europe, which of course did not include Tel Aviv or Beirut or Oman in their schedule and therefore, did not have to cancel them. So, that’s how we look at the market. Now, our increase of capacity is pretty balanced across different routes. It is not particularly concentrated in either England, which as you say, is an important market for Greece, but don’t forget, Aegean only flies to London, Manchester and Edinburgh. And our capacity to these routes, to the best of my recollection, is going to be stable between this year and last year. We started the fourth frequency in Heathrow in April of last year. That is being maintained, but there is no further addition to Heathrow. There is no further addition to Manchester, and there is no further addition to Edinburgh relative to last year, and that takes care of all our activities. So, the impression that you have relating to the number of visitors to Greece is correct. The largest number comes ex UK, but that is not the same analogy for ASKs or passengers relating to Aegean. Germany is an important market for us. So, we are making small investments in Germany. We are also making small investments in France. We are making investments in Spain, in Italy, in Belgium and many different other places in Europe. No place will have more than 10% of our overall increase of capacity relative to last year. So, it’s pretty well spread out in different places to the south, to the North and to the East and hoping to be able to make the hub of Athens even more efficient for us and therefore, balancing out exposure through different markets. The – let’s say, the information that we have from the market and from our own bookings is pretty positive. The year started strong. There was a time in early February for 2 weeks or 2.5 weeks where the information about the issues in Santorini with regards to potential volcanic activity or potential earthquakes caused by volcanic activity did have an effect for a couple of weeks in incoming reservations to us, to hotels, to everybody in Greece to some effect, particularly in Santorini, but also overall. It’s now behind us. So, reservations are building reasonably well. And the first quarter overall, I think is not going to be weaker than last year, and that’s the best you can get in terms of predictions from me because in today’s world, making predictions is not a good idea. There is a lot of instability in a lot of places in the world, geopolitical or otherwise. But Greece seems to be again attractive, and Aegean continues to be very well positioned to take advantage of that. And more importantly than anything else, do not forget our favorite tribe is actually Greeks.
Operator: Mr. Kumar’s line has been dropped. We will now move on to our next question. [Operator Instructions] The next question is a follow-up question from the line of Kumar Achal with HSBC. Please go ahead.
Achal Kumar: Yes. Hi. Sorry, my line was dropped actually. So, just one clarification, you mentioned that you have not given any number in terms of international growth. And what I was referring to is your results statement, which says clearly that in 2025, you are planning to offer 1.4 million more seats in international network, which implies 12% growth. So, that’s what I was referring to. So, I would appreciate any color on that. But otherwise, I think you made a very interesting point that the volatility in – the seasonal volatility is squeezing, is narrowing, so any thought, any color on that? I mean – and which markets particularly are you looking at the demand from in the off-season or in the weak seasons? Is it like more to do with the long-haul international demand, or how do you see that? I mean that’s…
Eftichios Vassilakis: No. Again, you missed – I think you missed a part of my closing statement. We have said that, don’t forget, a lot of the recovery that we are looking forward to in the last – that we have enjoyed in the last couple of years comes from the recovery of the capacity and willingness and ability of Greeks to travel abroad. So, actually the statistics that we have about the identity of our passengers, and this does not only refer to us, it also refers to Athens Airport, indicates that the growth of travel between origin Greece and destination Greece, at least for Athens-related traffic is at the very least balanced between Greeks traveling more and visitors to the country. So, the primary source for balancing – the mitigating, not balancing, mitigating the seasonality that we have in our revenues comes from the recovery of the ability and the willingness of Greeks to fly abroad and domestically. Don’t forget, we went through a terrible financial crisis where our local population was not able to fly even a fraction as much – to spend, even a fraction as much as they were before this crisis. And before this crisis, Aegean was a completely different company. So, here, a big part of the recovery of winter comes from the ability of Greeks to travel again and the willingness to travel again. And another one comes from the fact that especially in the visitation of Athens and Thessaloniki to some degree, people from all over Europe seem to be gradually traveling more at winter. Is this coming from one particular market, no. It’s coming more or less from all markets. And it is being facilitated by the fact also that airlines try to promote that by trying to use more of their fleet in winter months, especially since traffic control problems and other operational problems in the summer make travel more difficult and not only more expensive in terms of pricing, but more challenging operationally because of congestion-related issues at different airports around Europe and due to ATC. So, between climate change, temperature, the willingness of airlines to offer more capacity in winter, the ability of Greeks to travel more and a lot of Greeks work in tourism, and therefore, they need to travel off-season. All of that comes together to produce a gradual smoothing effect. That doesn’t mean that we will never have a winter or a spring that will look like summer. But it does mean that it is a good reason for justifying the improvement of our results in the last quarter of last year. And the fact that actually Q4, if you look at it for Aegean in ‘23, in ‘24, in ‘22 relative to what it was in ‘18, in ‘19 and ‘17 is a lot better. So, that part seems to be steady in its improvement. The – always the most difficult quarter of the year will remain the first one, where after the 10th of January until the beginning of March, we always see the weakest travel pattern. And we will – I don’t believe I will be around when I see Aegean breaking even in the first quarter. But if I am around, I will be a very happy ex-Chairman.
Achal Kumar: Thank you so much.
Operator: Ladies and gentlemen, there are no further questions at this time. I will now turn the conference over to Mr. Vassilakis for any closing comments. Thank you.
Eftichios Vassilakis: So, once again, thank you all for attending our conference. It was again a good year for Aegean, especially with a great quarter at the end. We are starting the year with – on a positive note and expecting to be at figures again for the first quarter that will be improved relative to last year. We are able to put in a significant amount of more capacity. And this time, it will include more of our best-performing 321neo aircraft because we will have received more of them and more of them will be active relative to the year before. We are learning how to balance our network to be more effective even as demand is recovering, but also with competition. We know we will have unit cost challenges coming not only from the GTF issues, but the overall inflationary pressures and particularly regulatory cost, navigation, CO2, SAF going forward. So, we need to achieve a higher level of basically RASK and load factors to be able to compensate for that, just like any other airline in Europe. But we are happy to report that our numbers in terms of profitability relative to our peers, whether it is in EBITDA, in EBIT and in size relative to 2019 remain very close to top of the class and top of the sector for – certainly for non-low cost, but also comparing pretty well with a lot of the low-cost companies in Europe, even though we are definitely not a low-cost company in terms of what we offer in terms of service, and that’s what differentiates us and drives us forward. We remain very healthy in our cash flows, very healthy in our cash balances. We’re rebuilding our equity very well. We have reached €500 million, and we are able to plan our future in terms of fleet investment, network development, potentially investing more in Volotea and developing our MRO, at the same time with no compromises to these individual decisions, which however, all build together a strategy of making Aegean more significant within the European sector. Thank you and I hope to listen to you and meet you again on our next conference. Thanks.
Operator: Ladies and gentlemen, the conference has now concluded, and you may disconnect your telephone. Thank you for calling and have a good afternoon.